Operator: Hello, everyone, and welcome to the Johnson Outdoors Third Quarter 2012 Earnings Conference Call. Today's call will be led by Helen Johnson-Leipold, Johnson Outdoors' Chairman and Chief Executive Officer. Also on the call is David Johnson, Vice President and Chief Financial Officer. [Operator Instructions] This call is being recorded. Your participation implies consent to our recording this call. If you do not agree to these terms, simply drop off the line. I would now like to turn the call over to Cynthia Georgeson from Johnson Outdoors. Please go ahead, Ms. Georgeson. 
Cynthia Georgeson: Thank you, operator. Good morning, everyone. And thank you for joining us for our discussion of Johnson Outdoors results for the 2012 fiscal third quarter. If you need a copy of our news release issued this morning, it is available on the Johnson Outdoors website at www.johnsonoutdoors.com, under Investor Relations. 
 Before I turn the call over to Helen, I need to remind you that this conference call may contain forward-looking statements. These statements are made on the basis of our views and assumptions at this time, and are not guarantees of future performance. Actual events may differ materially from those statements due to a number of factors, many of which are beyond Johnson Outdoors' control. These risks and uncertainties include those listed in our media release from today and our filings with the Securities and Exchange Commission. If you have additional questions following the call, please contact either Dave Johnson or me. 
 It is now my pleasure to turn the call over to Helen Johnson-Leipold, Chairman and Chief Executive Officer. 
Helen Johnson-Leipold: Good morning. I hope you've had an opportunity to review our third quarter earnings announcement. I'll start off the comments on the marketplace and our results, and then share perspective for the remainder of the year. Dave will cover some key financials, and then we'll take your questions.
 The third quarter is when the warm weather outdoor recreation season kicks into high gear, an unusually early spring in some parts of the U.S. got the season off to a strong start. The drought in those same areas of the country slowed markets down a bit in June. In Europe, Northern country markets are holding steady, while economic anxiety continues to depress markets in the South. Asia, which did not feel the same impact of the recession as other parts of the world, continues to grow. Overall, while our outdoor markets remain below pre-recession levels, they are recovering.
 During our third quarter, we see the most important success measure for new products: consumer response at retail. We define the products as those introduced within the last 2 years. And this quarter, new products across all units drove revenue up 5% to $129 million and accounted for more than 40% of the total company sales in the quarter. Year-to-date, net sales are up 2%, 3% excluding currency translation, with new products delivering nearly half of total company revenue during the 9-month period. At this time, it looks like Marine Electronics is on track to deliver another $200 million plus year and that we're making progress in our class of trade strategy in Watercraft with sit-on-top kayaks performing well. Camping is a little soft at retail, but Internet sales continue on the upswing. And in Diving, SUBGEAR continues to grow and the SCUBAPRO Meridian Dive watch have given a nice boost to sales.
 Now our primary goal over the past 3 years has been to grow profit faster than sales, amid a gradual recovery of outdoor markets. Operating profit increased 20% to $14.2 million for the quarter. For perspective, quarterly operating profit dollars and margin reached pre-recession levels, while sales have yet to return to 2008 levels. And net income rose 11% with earnings of $0.91 per diluted share. Year-to-date operating profit is 12% ahead of the prior year. Net income in earnings for the 9-month period were impacted by tax accounting, which Dave will discuss in a few minutes.
 Overall, we had a great quarter, and we're having a very good year, posting impressive results, which demonstrates the significant progress we've made in leveraging our strengths to maximize market opportunities and address challenges with heightened energy and discipline. But we're not satisfied yet, more work lies ahead. 
 Let me outline 2 key priorities for the future. First, ensure Watercraft achieves a healthy sustainable level of profitability. Last fall, we combined the forces of Watercraft and Outdoor Gear businesses to drive progress against a specialty channel growth platform and return Watercraft to profitability. To do that, we have to strengthen Watercraft margins and deliver innovative, specialty-only new products and services, including enhanced retail sales programs and support.
 In July, we announced the global restructuring of Watercraft operations in the U.S. and Europe and net [ph] we expect to generate $2 million in annual savings in 2 years. Even more importantly, the actions will enable the business to have the resources needed to invest in the future. The restructuring includes relocating Watercraft marketing and R&D into Old Town main, our paddle sports operations hub. In doing so, we are bringing added focus, alignment and discipline to our specialty platform initiatives to accelerate the pace of innovation and to speed the market.
 Last week, Dave and I spent time with paddle dealers down South, and today, we're joining you from Salt Lake City where this year's Annual Outdoor Retailer Show is in full swing. The importance of specialty dealers cannot be overstated. The U.S. is the largest canoe and kayak market in the world and paddle specialty is the single largest paddle sport channel. Reclaiming a leadership position in Specialty will help -- will happen over time and not overnight, and we're committed to making it happen.
 Our second big priority is to ensure our Marine Electronics business and brands remain strong and growing. This is our largest business and it's an important growth engine for our company. Minn Kota and Humminbird are each $100 million brands, a rare achievement in the outdoor recreational equipment industry. Innovation has been critical in driving strong growth in these brands, and it will play a key role in ensuring a strong future for both.
 Last month, we unveiled our 2014 new product lineup in Marine Electronics at ICAST, the premier trade show for the sporting fishing industry. Let me tell you about a couple of my favorites. First, i-Pilot Link, which gives anglers more boat control than ever, all with the push of a button. The i-Pilot Link utilizes GPS technology and ethernet connectivity to enable communication and functionality between select Minn Kota motors, select Humminbird fishfinders and LakeMaster Digital GPS maps. The ability to store and record location data on the fishfinder and the ability to have the trolling motor use that data for automatic navigation is something that fishermen have been asking for. Now with i-Pilot Link, they finally have it.
 Here are just a few of the unique features of this product: Follow The Contour, which directs the trolling motor to follow a specific depth contour that is displayed on the LakeMaster Digital GPS Map. It even tells the angler when to present bait and at what depth. It can also automatically follow a path at set distance from shore. The Go To feature steers the boat to specific locations and records them from the fishfinder or from the remote; iTrack records and stores trolling motor paths where the fishing was good so anglers can come back to them again and again. There's also a Spot-Lock feature that works like an electronic anchor to keep the boat within a 5-foot radius of the selected spot. In addition to all that, the i-Pilot Link has Cruise Control, Advanced Autopilot that automatically adjusts for water conditions to keep the boat on true course. And we've even integrated our CoPilot wireless trolling motor control system into the i-Pilot Link remote.
 Over at Humminbird, our new patent pending, 360 Imaging technology is capturing a lot of attention. This is a sonar accessory compatible only with Humminbird fishfinders to give anglers a complete, around-the-boat, underwater image with the same sharp detail they've come to know with our patented Side Imaging technology. With a single sweep, 360 Imaging has the ability to cover a 300-foot diameter circle. Orders started rolling in when 360 was first unveiled last February, even though the product isn't available until later this year. Whether you're a professional or weekend anglers, 360 Imaging gives you a clear competitive edge on the fish, and that's how the folks at ICAST saw it last month when they awarded the Humminbird 360, Best in Show for Electronics. The competition is always tough at ICAST and walking away with the gold in our category was a big honor that historically carries a lot of weight with consumers.
 So in summary, we feel good about where we are and are driving the charge to end the year strong and continue moving forward behind our commitment to build long-term value for our shareholders. Our current strategic plan will sunset at the end of the fiscal year and we look forward to sharing the details of our new 3-year plan with you on our next call.
 Now I'll turn things over to Dave Johnson, our CFO, to review financial highlights. 
David Johnson: Thank you, Helen. Good morning, everyone. As Helen mentioned, the primary goal of our 2012 3-year plan is to grow profits faster than sales amid the gradual recovery of outdoor rec markets. And third quarter operating profit margin was the highest in 8 years, due largely to improved efficiency and disciplined spending.
 While quarterly operating expense grew slightly compared with the prior year, on a year-to-date basis, operating expense percentage is the lowest in 11 years. We also continue to reap the benefits of cost structure reductions over the past 3 years. As measured by sales per employee, total company productivity improved 6% compared with prior year quarter and 3% versus the prior 9-month period. So good progress in the right direction.
 Keeping the balance sheet strong and healthy is always a key priority, and working capital was down $12 million below the prior year-to-date period. Inventory is down $7 million. Inventory days are favorable by 6 days and cash-to-cash days are also favorable by 11 days. Cash, net of debt, is $26.3 million, a favorable swing of $18.6 million over the prior year, with all businesses in a cash generating position for the year. So the balance sheet is in excellent shape. 
 Now let's talk about the impact of taxes on the quarter and first 9 months. As we told you last quarter, the company's effective tax rate is higher this year. The reason for this is that in those countries where income is being generated, like the United States, it's being taxed. In countries where losses were incurred, tax valuation allowances exist, so no tax benefit was derived. The third quarter effective tax rate was 36% versus 11% in the prior year quarter, which was unusually low. Despite the higher tax rate, net income grew 11% quarter-over-quarter.
 However on a year-to-date basis, the tax rate is 44%, which resulted in a 13% decline in net income during the 9-month period. We do expect the end-of-year actual cash taxes to be below the book rate at a tax rate somewhere in the mid-teens.
 In closing, we feel good about the progress we've made against our 2012 goals. Our businesses are clearly stronger and more competitive and well positioned for the continued success in the years ahead.
 With that, I'll turn the call back over to the operator to begin the Q&A session. Operator? 
Operator: [Operator Instructions] Our first question comes from James Fronda of Sidoti & Company. 
James Fronda: Just in terms of the growth within the Marine Electronics business. Besides the fact that you guys are a leader on every product group, would you say part of the contribution is coming more due to an increase in overall boat sales? Or is it due to an aging boomer population looking to spend? Or a mix of both? 
Helen Johnson-Leipold: We don't have the specifics, but we would say it's really a combination of both because we do see the boat sales going up, and I think that there is more spending on behalf of our consumer segment. So it's a combination. 
James Fronda: Okay. And David, can you tell us the specific numbers for accounts payable, accrued liabilities and other liabilities during the quarter? 
David Johnson: I believe I can. I've got the accounts payable numbers, $30.2 million. I don't have the other liabilities in total here. 
James Fronda: All right. I can talk back with you later. Okay, and in terms of the outdoor equipment business, was that just kind of a one-time order from the government that caused that growth, or do you expect further sales growth going forward in the next couple of quarters? 
David Johnson: Yes. With the military, it's just -- it's a lumpy pattern and so it is a bit of pacing thing with military and that's what really kind of boosted the growth this quarter. But overall, for the whole year, we don't expect military to be a significant piece of the growth. 
James Fronda: Okay, all right. All right, I agree with you. And I guess, just your general sense, from your guys' point of view, on the U.S. economy, I guess we all kind of know what's going on in Europe, but specifically dealing with the small and unique specialty shops, I mean, do you have any sense of how they're holding up? 
Helen Johnson-Leipold: Well, we have taken some road trips, too. I think the ones that have gotten through, the ones that are -- got through the worst part of it are actually doing well. And the specialty shops tend to attract the consumer that is more engaged in the activities. So they're not the in-and-out recreational users. So they tend to be a little more loyal and continue the purchase process. 
Operator: Our next question comes from Brian Rafn of Morgan Dempsey. 
Brian Rafn: The military order, was that the Marine Corps or the U.S. Army? 
David Johnson: It's actually a mix of -- a variety of orders. We even sell a bit overseas, so -- I don't have the details, but most of our military business tends to be Army. 
Brian Rafn: Okay, okay. And then what are you guys seeing, you did really talk a little bit about cost of sales, are you seeing any increases in feedstocks, resin costs, plastic, that type of thing, metals, anything in cost of sales? 
David Johnson: We are not. Right now, it's fairly steady. But obviously, like everybody else, we're looking through the future and trying to figure out what's going to happen. 
Brian Rafn: Okay. When you look at kind of the -- you guys talked a little bit about the enthusiast sports guy, are you seeing more strength from kind of the niche specialty boutique, or you'll see as much strength in the sports enthusiast coming from some of the bigger box, the Cabela's and some of the others? 
Helen Johnson-Leipold: I think it depends on the recreational segment you're talking about because Bass Pro, Cabela's does attract the enthusiast hunt fish recreator, and so they're certainly providing support to those chains, and I would say some of the smaller -- specialty shops attract the more engaged paddler and camper. So I think both channels are benefiting from their core consumer group that's engaged in the category. 
Brian Rafn: Okay. Could you talk a little bit about -- you just kind of briefly touched on the Diving segment. Can you kind of breakout, say, SCUBAPRO from SUBGEAR? Got any trends, buying, kind of your sense of, I don't know, the average ticket orders, are you seeing more strength at the premium end of the Diving business or more of the mid range? Any highlight you can you give kind of on the Diving segment? 
Helen Johnson-Leipold: The SCUBAPRO core franchise, we see increases in our base business so -- and that's our higher end line. We also see the growth in the SUBGEAR brands. So we got both. So it's not skewed one way or the other. 
Brian Rafn: Okay. Can you -- you talked a little bit about new products being, overall, upwards of 40% for the last 3 years of the combined. Can you breakout new products by Diving, Marine, Watercraft and kind of the outdoor camping site? Can you give us a sense of -- or is it pretty much similar all across the board? 
David Johnson: Well, I will say that Marine Electronics and Diving -- or, I'm sorry, Marine Electronics and Watercraft both had kind of above average new product performance versus the rest. But it's obviously, I mean, it's what we focus on, on all 4 categories, but it's really been led lately by Marine Electronics and Watercraft. 
Brian Rafn: Okay. When you have new product growth that's that large, I mean, we're happy to see businesses that do 15% or 20% and you're talking about over 40%. Obviously, it has a lot for innovation. When you have that large a growth in new product sales, how much cannibalization or loss from other products that may have been replaced do you guys see? 
Helen Johnson-Leipold: Our Marine Electronics group, they do a very good job of managing the new products and the introduction of the next series, so they've done a good job of managing that. Obviously, we have to take into account cannibalization, but keep in mind that our purchase cycles are quite long. So you don't have people buying 2 significant items in the same [Audio Gap] year-after-year. I mean people come in and out and so even though we do have this 40%, you are bringing new people in and so you're kind managing the cannibalization piece. 
Brian Rafn: Okay. Given the fact -- just talking about some of the specialty niche boutique retailers, given the fact that they had probably a challenging winter if you're doing skiing or Alpine or cross-country and you haven't had a lot of snow, are you favorably impressed by their rebound in orders and traffic and taking down inventory in the summer cycle? 
Helen Johnson-Leipold: I think they're obviously very regional. And different regions have done differently, but I would say that they have all learned how to better manage the inventory piece of it, as has all -- all channels have done a better job of that. But we haven't seen a clog of inventory in specialty retail. 
David Johnson: And I hate to do a wide swath with specialty because it's such a big  -- smaller retailers, but we're not seeing a kind of inventory out there since the recession. So they -- everyone is still, their balance sheet there seem to be in better shape. 
Brian Rafn: Okay, okay. With the consolidation issues you had with Watercraft, was there any headcount reduction with that? Or was it just the facilities' consolidation? 
David Johnson: Yes, there was headcount reduction. 
Brian Rafn: How many people roughly? 
David Johnson: I think the initial expense was between 15 and 20 people, and that's what the initial expense represented. That was in Europe, as well as here in the U.S. 
Brian Rafn: Okay. And then as you're kind of seeing a rebound, what would be kind of your headcount as an employer all across the board for Johnson Outdoors? Are you kind of holding that steady? Do you see hiring patterns throughout this year? What would be kind of your posture maybe for 2012? 
Helen Johnson-Leipold: I would say that you -- as we look at our company in general, we have done more with less, and I think you'll see more of a steady hold at our current level. 
Brian Rafn: Okay. And then, Dave, you got any CapEx figure for the total year? 
David Johnson: For the total year, I think that was in the press release. I think we quoted the total year. So we -- yes, our capital -- oh, I'm sorry, for the whole year. 
Brian Rafn: Yes, budget-wise. 
David Johnson: I don't have the number in front of me. But I would expect that we'll probably do around $12 million for the year, give or take $500,000 or so. 
Brian Rafn: Okay. Okay, and then the maintenance cap would be what of that, roughly? 
David Johnson: Probably a 1/4 of it. 
Operator: [Operator Instructions] Our next question comes from Michael Schechter of Mentor. 
Michael Schechter: Two quick questions. One, the balance sheet looks in exceptionally good shape, and just looking at, let's say, a 4-quarter average balance sheet, you're running at net cash position, and given the next quarter, you should be generating even more cash. Have you given any thought, Helen, to maybe a special dividend in front of what's probably going to be a tax hike going into 2013? 
Helen Johnson-Leipold: We have looked at all options and we continue to do that, including, as we've always said, keeping an eye out on acquisition opportunities. So we're assessing that on an ongoing basis and we'll see how -- what works out going forward for this year. But we're looking at all options. 
Michael Schechter: Okay. And just looking at Watercraft and the Outdoor, the combined $90 million of revenue, very, very little contributions on an operating basis. I know you're going through yet another restructuring in Watercraft. At what point -- because they tend to mask the real growth of Marine. At what point do you decide that they're better off somewhere else or combined with something else so that Marine and Diving can really lead the company and people can see the growth? 
Helen Johnson-Leipold: Well, we have a strategic focus for Watercraft and OEG that we feel good about and are pushing forward on. Both of those areas are important segments to the playing field that we're in. And so there's a lot of fragmentation out there and these are some of the bigger segments. So we've got a plan in place, we're following that plan, we think going down this path is the right approach at this point in time. But again, as I said, we are looking at all options and always weighing what we think the best path is objectively for long-term value creation. So we get the point. 
David Johnson: Just to add to that, Michael, the actions that we've taken, we need to get the business profitable and feel good about a sustained profit level in the business. So it's a bit of a balancing act because we do believe in the long term of the business and the strategic focus, but we also need to make sure we get it profitable, so we're doing both. 
Michael Schechter: Just looking at the margins, right? So Marine Electronics is phenomenal, double-digit margins and really terrific, and Diving seems to be working its way back to healthy margins. What would the goal be for Outdoor and Watercraft, are we talking about a 5% margin, operating margin? 7%? Where do you see in the short term, this 2-year plan, where do you see it getting into? 
David Johnson: Well, I don't know about 2 years, but I think within maybe 3 or 4 years, a high single-digit operating profit margin is reasonable. 
Michael Schechter: On the same $90 million of revenue between the 2 units? 
David Johnson: Yes. 
Operator: We have a follow-up question from Brian Rafn of Morgan Dempsey. 
Brian Rafn: When you look at some of your businesses, if you look at, say, Diving, I would say Watercraft, can you measure or can you delineate kind of your accessory sales or what the consumer might be accessorizing. If you're having someone buy a canoe, and then buy paddles and life vests and whatnot, or in the Diving area, if somebody comes in and buys a Diving suit and then accessorizes with fins and goggles or masks, and that type of thing, are you able to delineate at all in 2012 whether the consumer is more or less coming in for 1 item and you have less of an elasticity or maybe the consumers' more of an elasticity not to accessorize, or is there any way you can kind of measure that? 
Helen Johnson-Leipold: Well, from a market standpoint, and a market segment standpoint -- and Diving accessories are very important, but they seem to be -- that industry seems to be a very committed and avid group, and so they are still purchasing the main life support items. I think in the boat arena, accessories, PFDs paddles, are a big piece of the market, but again, we don't see one accessory area or -- going up versus the main product. I think where you see that more is in Marine Electronics. When they -- people decided not to buy a boat, they would accessorize the boat, and that's -- we could see that happening and that's when our Humminbird and Minn Kota product, which are considered to some degree accessories to a boat, tend to take off. But we don't see any unique trends going on in that end of the business. I don't know if you want to add something, Dave. 
David Johnson: No. I think Helen nailed it. I think it just depends on the category because in Diving, what you define as accessory could vary. We see life support as kind of the core of the franchise, but we also see a lot of business in masks and snorkels and wetsuits and the soft goods. In watercraft, the boat is the core, and -- but we are seeing, along with that, paddles and PFDs come with it. Is there a big difference? Not necessarily. No. 
Brian Rafn: Yes, okay. I think you talked about the accessorizing in the fishing side. Do you have any -- if you look at kind of your domestic or your global markets across Diving and Marine Electronics and Watercraft. Do you have any sense of what kind of a normalized expansionary post-recession, what kind of a normalized core growth rate might be in stop [ph] line sales? Are they population-centric or population plus a couple percent, what's your sense across your different segments? 
David Johnson: I kind of look at GDP as kind of the benchmark. Post-recession though, I mean, I think there's some variability with that, depending on how consumers react to the value in the category, so -- but I tend to look at GDP. 
Brian Rafn: Okay. And so would you say all of your segments tend to be GDP-centric? 
David Johnson: Well, as a core benchmark, no [ph]. As we've said, we're able to grow beyond that with our innovation. We have been historically. That would be our business model. 
Operator: I'm showing no further questions in the queue at this time. I'll hand the call back to Helen for closing remarks. 
Helen Johnson-Leipold: Thanks again for joining us, and we look forward to speaking with you at the end of the year. Have a great day. 
Operator: Thank you. Ladies and gentlemen, this concludes the conference for today. You may all disconnect and have a wonderful day.